Operator: Good afternoon. I would like to welcome everyone to the Plaza Retail REIT Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to advise everyone that this conference is being recorded. I will now turn the conference over to Kim Strange, Plasma's General Counsel and Secretary. Please go ahead. Ms. Strange.
Kim Strange: Thank you, operator. Good afternoon everyone, and thank you for joining us on our Q4 2022 results conference call. Before we begin today, we are legally obliged to advise you that in talking about our financial and operating performance and in responding to questions today, we may make forward-looking statements, including statements concerning Plaza's objectives and strategies to achieve them, as well as statements with respect to our plans, estimates, and intentions, or concerning the anticipated future events, results, circumstances or performance that are not historical facts. These statements are based on our current expectations and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the risks that could impact our actual results and the expectations and assumptions we applied in making these forward-looking statements, can be found on Plaza's most recent annual information form for the year ended December 31, 2021, and management's discussion and analysis for the period ended December 31, 2022, which are available on our website at www.plaza.ca and on SEDAR at www.sedar.com. We will also refer to non-GAAP financial measures widely used in the Canadian real estate industry, including FFO, AFFO, NOI, and same asset NOI. Plaza believes these financial measures provide useful information to both management and investors in measuring the financial performance and financial condition of Plaza. These financial measures do not have any standardized definitions prescribed by IFRS and may not be comparable to similarly titled measures reported by other entities. For definitions of these financial measures and where to find reconciliations thereof, please refer to Part 7 of our MD&A for the period ended December 31, 2022, under the heading explanation of non-GAAP measures. With that, I will now turn the call over to Michael Zakuta, Plaza's President and CEO. Michael?
Michael Zakuta: Thank you, Kim. Good afternoon. Our business continues to show great strength and resilience in face of remarkable challenges. In the last three years, we have navigated a pandemic with lockdowns that materially affected business operators, an economic resurgence that creates supply chain challenges and boosted inflation, and a series of aggressive interest rate hikes. Recent discussions with our tenants indicate that customers are trading down to more essential needs and value goods and services, offerings that dominate our portfolio and have proven time and again to be steady and reliable in a softening economy. We finished 2022 with our most robust development pipeline ever. Our focus coming into 2023 is to execute and deliver these new developments. In 2024, we will reap the rewards, our development work of 2022 and 2023. Demand from leading national retailers remains very strong and pre-leasing for our projects is progressing well. Recent volatility in construction pricing is [calming] [ph] and project schedules are increasingly predictable Healthy retailer demand has allowed us to push renewal spreads and occupancy in our existing portfolio is at an all-time high. Leasing vacancies comes with a cost, but the positive impact from having new and relevant retailers at our centers and increasing our NOI outweighs the short-term impact on AFFO. Most of Plaza's debt is in the form of longer-term fixed rate mortgages with well-laddered expiries, which has been our debt strategy since inception. Mortgages expiring in 2022 were renewed at similar rates, which minimized the impact of increasing interest rates on our business. Further, mortgages expiring in 2023 are expected to be renewed at similar and in [some instances] [ph] lower rates. However, we are not immune to increasing interest rates as they have an impact on our operating and development lines, as well as construction financing for new developments. While we expect interest rates to continue to stabilize, we have been prudent in discerning about our sources and use of capital. Plaza remains active selling non-core assets above our book values. We are reinvesting the proceeds in new value-added projects anchored by Canada's leading essential needs and value retailers. The result is a newer or relevant portfolio that generates return from quality stable tenants. Plaza stabled itself over two decades ago by identifying and executing development and redevelopment opportunities for grocery, pharmacy, and value retailers, One project at a time we developed these open-air centers in dominant locations within primary and strong secondary markets in Atlantic Canada, Quebec, and Ontario. Plaza know these markets well and has an established track record of securing the best locations for retailers. As a result of our strategy, we have irreplaceable assets leased to strong covenant retailers, our portfolio has never been stronger. We are very excited about the future of our business, our solid and resilient portfolio and growing pipeline supported by our entrepreneurial operating development platform and our value-add business strategy will continue to generate solid results and future growth. I will now turn the call over to Jim Drake, Plaza's CFO. Jim?
Jim Drake: Thank you, Michael, and good afternoon, everyone. As Michael mentioned, we are excited about our robust development pipeline, but our development program has contributed to 2022 as well. We transferred 18 million of developments in income producing during the year and we are nearing completion on a few additional projects. These projects add value, improve the quality and age of our portfolio, and assist our results. On those results, same asset NOI was impacted by a few properties that we are improving in Nova Scotia and Quebec, where we are replacing smaller tenants with larger, stronger, and more resilient secondary anchors. Even with that, same asset NOI is up 1.8% for the quarter and 1.5% for the year. FFO per unit was [$0.099] [ph] for the quarter, [$0.402] [ph] for the year. When comparing to last year, it is key to remember that 2021 included 3 million of lease termination income. Excluding the impact of same and excluding other unusual items such as insurance proceeds and COVID-related bad debt incurred last year, annual FFO per unit is consistent with last year. Year-to-date AFFO per unit, adjusted for these same unusual items was down 3% versus last year. Higher leasing costs impacted AFFO in-part due to cost inflation, but also increased leasing activity, which will result in increased revenue going forward. And that increased leasing activity is reflected in our committed occupancy of 97.5%, up 100 bps over last year, and a record level for the second consecutive quarter. Strong leasing demand has also pushed lease renewal spreads at 3.8% for the year. Our liquidity remains solid and at year-end totaled 66 million, including cash, operating line, and unused development and construction facilities with an additional 5 million of unused facilities on nonconsolidated properties. We also had 18 million of unencumbered assets. Our debt to total assets ratio remained consistent with last year at 56%, including convertible debentures. For mortgage rollovers, we have 30 million of fixed rate mortgages maturing in 2023 at a weighted average rate of [5.3%] [ph]. The overall loan-to-value on these mortgages is 49% and a large portion of the rollovers relate to freestanding pharmacies or pharmacy-anchored properties. We are seeing strong interest in our mortgage offerings with all-in rates in the low 5% range. We will have commitments in place shortly for approximately 10 million of the 2023 maturities. We also have our 47 million Series E convertible debentures maturing next month. The convertible debenture market continues to be a bit expensive, [barring] [ph] any significant changes in that market or our unit price, we will repay the maturing converts with a $37 million [bridge loan] [ph] with the remainder from non-core asset sales, which have already closed. The pricing on the bridge loan is at prime plus 1.25% or [indiscernible] plus 2.25% for a one-year term. Finally, on cap rates and valuation, we continue to see strong demand for essential needs and convenience assets such as ours. And the sales of our non-core assets during 2022 were above IFRS values. Significantly higher replacement costs also act as a barrier to entry and provides further support for our IFRS valuations. We saw minor cap rate compression during the quarter, and combined with increases in underwritten NOI, and a few appraisals obtained. We took a $6 million write-up this quarter. This brings the total write-up for the year to 8 million with our weighted average cap rate now at 6.73%. Those are the key points relating to our results for the quarter and year. We will now open the lines for any questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Gaurav Mathur from iA Capital Markets. Your line is now open.
Gaurav Mathur: Thank you and good afternoon everyone. Just on the development pipeline. You've talked about where [development] [ph] yields are. And I think the last quarter, you said they'd be north [indiscernible] I'm just wondering if that's still the case as we look at 2023?
Michael Zakuta: So, average yields are coming in between 7% and 9%, which is pretty well what we've been working with for some time. There's obviously been some erosion. So, some of that that we would think that we hit a solid 9%, we might lose half a point and works its way through the system. But we're holding on to that type of yield, particularly on the projects that are more recent, where we've been able to adjust rents to considerably higher levels to compensate for construction inflation.
Gaurav Mathur: Okay. Great. And then just on capital allocation [for] [ph] 2023, you do have the development pipeline. There might be some non-core dispositions and then the NCIB as well. What's the pecking order essentially or how you're thinking about it as the year unfolds?
Michael Zakuta: I don't know, Jim if do you want to weigh in. But from my perspective, the priority is our development pipeline and execution, and we have enough capital to do that. NCIB is, really is secondary. And is there as a protection if things really – if unit price is extremely low. But we have enough capital to do our program, and that's where the focus is. I don't know, Jim, do you have anything you'd like to add?
Jim Drake: No, I absolutely agree to, Michael. Definitely development pipeline is the priority. NCIB, if the price proves attractive, we will certainly participate as well.
Gaurav Mathur: Fantastic. Thank you for the color gentlemen. I will turn it back to the operator.
Michael Zakuta: Thank you.
Operator: [Operator Instructions] Mr. Zakuta, there are no further questions at this time.
Michael Zakuta: Well, thank you for listening and participating. Operator?
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.